Operator: Good day, and thank you for standing by. My name is Argy, and I will be your conference operator today. At this time, I would like to welcome everyone to the SUNation Energy First Quarter 2025 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Devin Sullivan of The Equity Group. Please go ahead.
Devin Sullivan: Thank you, Argy, and good morning, everyone. Thank you for joining us today for SUNation's first quarter 2025 financial results conference call. Our speakers for today are Scott Maskin, Chief Executive Officer, and James Brennan, the company's Chief Financial Officer. Mr. Maskin will open with prepared remarks followed by a question-and-answer session. Before we get started, I'd like to remind everyone that prospects at SUNation Energy Inc. are subject to uncertainties and risks. Statements and remarks on today's call contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, Section 27A of the Securities Act of 1933, and Section 21E of the Securities Act of 1934. You should not place undue reliance on forward-looking statements as they are based upon our current expectations, forecasts and assumptions. The company intends that such forward-looking statements be subject to the safe harbor provided by the foregoing sections. These forward-looking statements are based largely on the expectations or forecasts of future events, which can be affected by inaccurate assumptions and are subject to various business risks and known and unknown uncertainties, a number of which are beyond control of management. Therefore, actual results could differ materially from the forward-looking statements contained in this call. The company cannot predict or determine after the fact what factors would cause actual results to differ materially from those indicated by the forward-looking statements or other statements. Participants should consider statements that include words such as believes, expects, anticipates, intends, estimates, plans, projects, should or other expressions that are predictions of or indicate future events or trends to be uncertain and forward looking. We caution investors not to place undue reliance upon any such forward-looking statements. This call will also contain certain non-GAAP financial measures, including adjusted EBITDA, which we believe is a useful supplemental measure that assists us in evaluating our ability to generate earnings, provide consistency and comparability with our past performance and facilitate period-to-period comparisons of our core operating results. A reconciliation of non-GAAP measures to the most comparable GAAP measures where possible and definitions of those indicators are included in our financial results release. Please note that our definition of these measures may differ from similarly titled metrics presented by other companies. Company does -- forward-looking statements speak only as of the date in which they are made, and the company does not undertake to publicly update or revise forward-looking statements, whether because of new information, future events or otherwise. Additional information regarding risks and other factors that could materially affect the company and its operations are contained in the company's filings with the SEC, including its most recent Form 10-K filed with the SEC on April 15, 2025, and its Form 10-Q, which was filed with the SEC on May 15, 2025. Copies of each document can be found on the SEC's website, www.sec.gov. With that said, I'd now like to turn the call over to Scott Maskin, Chief Executive Officer of SUNation Energy. Scott, please go ahead.
Scott Maskin: Thank you, Devin. Good morning, everybody, and happy Friday. I want to thank each of you for joining today. Please stick around for after Jim speaks for my closing comments right around the time that we take questions as well. It's been about a month since our last public conference call although I've heard from many of you since then. If I had to characterize our results for the first quarter, the word I would use is progress. Many of the options -- many of the actions that we've taken over the last several quarters are beginning to have meaningful impact on our results. We told you what we're going to do and we're doing it. That is the ethos of this company and it extends across the organization from employees to customers, vendors and, of course, our shareholders. Whether times are good, challenged or somewhat in between, we always strive to do the right thing and be transparent while doing so, no matter how difficult the circumstances. During the first quarter, we lowered our operating costs, gained efficiencies and increased our cash position. We repaid nearly $10 million in high cost debt and continued to meet our other debt obligations during the second quarter. We grew our cash position from year-end. In short, our financial position has improved. There's still a lot of work to do, but we are miles ahead of where we were just a few short months ago. Once again, I have to give credit to my incredible colleagues at SUNation Energy and our extended family of advisors. They have done an incredible job addressing a very difficult situation, and I thank them all, including our Board of Directors. Let's talk a little bit about the business. Our SUNation New York business, which serves Long Island and the surrounding region, we have maintained our position as one of the leading installers of solar energy and battery attachments. After a seasonally slow Q1 for our residential business, which was exasperated by terrible weather in February, we had a strong April, which we believe bodes well for the balance of 2025. We are seeing marked improvement in sales. That is we've spent up -- we have a lot of pent-up demand from residential consumers for solar, which has resulted in a stronger-than-usual springtime push. With both contract and install activity [rivalling] (ph) the growth we saw during the post Inflation Reduction Act boom period before interest and financing rates took off. Even with the recent uncertainty within global financial markets due to potential changes in federal tariff policies, we expect Q2 to remain strong as homeowners look to capitalize on locking in pre-tariff pricing. Now, with Congress debating the future of solar incentives, this adds yet another layer of urgency for the customers to move forward with their projects. Based on 20 years of experience of dealing with uncertain incentive picture, remember up until 2022, each year, the federal incentives would wind down gradually. We fully expect that this debate over the future tax incentives for solar will lead to push for homeowners to install before end of year so they can receive the maximum incentives from the federal government. Our residential business in Hawaii, a more mature market, is expected to rebound from a sluggish 2024 due to solar battery incentives that took effect in May 2025. Thanks to the recent action taken by the State of Hawaii's Public Utilities Commission. Electric rates on Long Island are among the highest in the nation. Our systems have paid consumers more than $70 million, money that goes back into their pockets and into their communities. On the commercial side, we entered the second quarter with a commercial backlog that ranks among the strongest in the company's history, thanks to a variety of projects currently in various stages of development with our institutional partners. We've recently announced separate LOIs for deployment of over 2.35 megawatts of solar power at two school districts on Long Island. Collectively, these installations are designed to deliver 3 megawatt hours of clean solar energy across 10 buildings that would offset a substantial majority of each district's energy needs. We are exploring opportunities to expand our service and maintenance business in New York metro region to support thousands of homeowners whose systems have been orphaned by solar providers that are no longer in business. This presents a meaningful opportunity to broaden our customer base, support our continuing use of solar and potentially benefit from historically high-margin service revenues. Building these types of relationships drives referrals and lowest customer acquisition costs. I'm hoping some of you are going to ask me the questions and my feelings about Sunnova and SunPower. With the help of our remarkable team, we are building an incredibly resilient and efficient organization that can respond to whatever the market throws our way. We have focused, simplified and stabilized SUNation Energy to the point where we can truly begin to focus on what lies ahead instead of devoting so much of our time and resources on fixing the issues that were dropped in our laps. We are focused on the customer delivering to the highest-quality products, dependable services and a promise to stand behind our work, no excuses. With a strengthened capital base, a streamlined capital structure and a vision for our future, we are ready to grow in a thoughtful and impactful manner. We see the light at the end of the tunnel and it's not an oncoming train, it is appropriately enough daylight. Thank you for your time today, and I'll turn things over to our CFO, Jim Brennan, to discuss our further results. Jim?
James Brennan: Thank you, Scott, and good morning, everyone. We are also joined today by Kristin Hlavka, SUNation Energy's Chief Accounting Officer and Treasurer. We issued our press release after the close yesterday and also filed the 10-Q with the SEC. For the quarter, consolidated revenue declined 4% to $12.6 million from $13.2 million compared to last year's first quarter. Commercial revenue rose 28% from last year's first quarter, which offset declines in residential revenue and total service revenue. On a consolidated basis, while overall kilowatts installed on residential projects increased 7% in the first quarter of 2025, we did see a 13% decline in per watt pricing due to lower battery kilowatts installed within our HEC segment. With the May 2025 commencement, as Scott just shared, of the new battery program in Hawaii, we hope to see a rebound at HEC as the year progresses. On the commercial side, we ended the first quarter with a commercial backlog of $7.4 million, which is a 32% increase over March 31, 2024. Consolidated gross margin for the quarter declined slightly from 35.1% to 36.4%. HEC's gross margin remained flat. SUNation New York gross margin decreased 38.5% from 40.5% due to the higher cost in our commercial segment, which was a result of higher unanticipated project cost at a large project during that quarter. A series of cost optimizations, as Scott mentioned, and efficiency measures we implemented in 2024, which helped drive savings for us in the first quarter, reflected by the 9% decline in SG&A expense from $6 million -- to $6 million from $6.6 million in the prior year. We continue to believe that these measures will produce annual SG&A expense cost savings in 2025 of approximately $2 million. Total operating expenses also declined by nearly 6% to $6.6 million from $7.0 million. We lowered our first quarter interest expense by $200,000 and expect annual interest expense to decline by $1.4 million for 2025, which is due to the recent elimination of nearly $12.5 million in expensive debt. Net loss was $3.5 million compared to net income of $1.2 million from last year's first quarter. For context, net income from last year benefited from a $3.7 million gain associated with the fair value remeasurement of warrant liabilities versus no such benefit in this year's first quarter. Therefore, our adjusted EBITDA was flat year-over-year. Moving to the balance sheet, I am very pleased with the progress that we have made on several key metrics. Cash and cash equivalents rose $1.4 million from $800,000 on December 31, 2024, with restricted cash unchanged at $300,000. Cash on 3/31/25 did not include the $5 million gross proceeds raised as part of the offering that closed in early 2025. Total debt, which includes earnout considerations of $2.1 million declined 51%, a whopping 51%, due to $9.3 million of total debt of $19.1 million on December 31, 2024. We made additional debt payments of more than $2 million during April, and as a result, the total debt on June 30, 2025 is expected to decline an additional $1 million to $2 million from March 31, 2025. Other areas of improvement include: accounts payable decreased $1.5 million from December 31, 2024; current liabilities decreased $6.9 million from December 31, 2024; long-term liabilities decreased $700,000 from December 31, 2024; and stockholders' equity increased by $6.3 million from December 31, 2024. We recently restructured the $5.5 million of long-term debt and entered into as yet utilized $1.0 million line of credit as a bridge establishing -- until we establish a more formal commercial banking relationship. As you may recall from prior announcements, that $1 million line of credit was provided by Scott Maskin, our CEO, which should reinforce our confidence in the business. In summary, we have eliminated $12.6 million of secured debt and other long-term contractual obligations, removing an average annual recurring cash drain of approximately $3.4 million through 2027. I'll echo Scott's comments that we still have a lot of work to do, however, our debt payments and liquidity initiatives have removed a significant impediment to our ability to grow organically, better serve our customers, better -- be better partners to our vendors and consider strategic acquisition opportunities. We now have the confidence to provide guidance for 2025. For 2025, we expect total sales of $65 million to $70 million, a projected increase between 14% and 23% from total sales of $56.9 million in 2024. Also, adjusted EBITDA of $500,000 to $700,000 compared to an adjusted EBITDA loss in 2024. We look forward to keeping you apprised of our progress. I want to thank you for your time, and we'll turn things back to Scott.
Scott Maskin: Thank you, everybody, and thank you, Jim and team. What I'd also like to add is some remarks that I put together myself. First of all, thanks for sticking around, and then we'll open it up for questions. We build our relationships around transparency. And in that spirit, I want to take a few minutes to clarify some of today's information and share my thoughts on the current ITC situation. It's important for our shareholders, employees and stakeholders to understand the difference between what we can control and what we cannot control. Let me say that again, some factors are simply out of our control, but we work hard every day and the actions of others impact us. Today, we also shared guidance on where we believe 2025 will land. That's transparency and accountability, two things I believe are in short supply these days. I'm sure much of what I will say will end up on the message boards. Well, game on. I have tough skin and I refuse to change how I lead. Let's take a look back quickly. Jim and I assumed leadership of what was then Pineapple Energy really on May 06, 2024, and just last week, we marked our one-year anniversary rebuilding the company. When we took over was a ship headed straight for bankruptcy, defaults on obligations, repressive capital structure, unsustainable debt and operating expenses that had gutted the business units. The industry as a whole was in free fall in 2025 -- in 2024, sorry. In my 22 years in solar, not even COVID compared to the storm we just endured and the industry results being 25% to 40% off down, if you even survive 2024 regrettably, it's sad but true, but we not only had to fight through our own problems but we had to fight an industry that was just in chaos. So, it's also critical to understand that shareholder equity is inextricably linked to the success of our business units, our employees and our clients. One cannot succeed without the others. And while we have no control over how our stock is traded, we believe that a few solid quarters will begin to restore confidence, and that's our plan, that's our focus. From day one, Jim and I guided by our newly-formed Board set a deliberate calculated course to save this company, preserve jobs and rebuild shareholder equity. Let's not forget, Jim and I were the first and biggest financial losers in this. We saw $4.5-ish million of our own equity wiped out. Our theory is, we bleed first, that's how we roll. Every step we've taken has been intentional, compliant and necessary to avoid bankruptcy and to fight another day. We worked together alongside with Nasdaq, our auditors, bankers, legal and accounting teams, and every shareholder vote we brought forward is passed by overwhelming margins. One year later, we're still standing. The ship has some dents and scratches for sure, but it's mechanically sound and heading into calmer waters. The iceberg is behind us as far as I'm concerned. I've also personally provided the business with a bridge loan and established a line of credit to support operations if needed. You will not find the CEO more invested financially and emotionally. I'm not looking for medals, I'm just asking for a fair shot at winning. And as I see it we have three active [pass cards] (ph). Raise additional capital to roll up great companies. These are bringing new companies, new revenue and accretive EBITDA. Simply stated, our industry actually needs this consolidation and we are the ship that they are flocking to. Number two is pursue strategic mergers with accretive small cap public companies. These would create immediate savings and grow opportunities. These moves may not require us to do certain things, but it's an absolute necessity that we start to look towards more verticals and companies that can work together and save costs. Number three, which is also super exciting, is mergers through -- merger to other companies. There's no shortage since we cleaned up our own company of other companies that want to come into us. I also want to briefly address the federal administration's stance on the Investment Tax Credit and solar storage policy. Yes, change is likely. That's exactly why I've emphasized diversification in every single call for the last year. Residential, commercial, service and roofing, we are strategically prepared to adapt if the ITC landscape shifts. With Sunnova now following SunPower into bankruptcy, we see an opportunity to serve a wave of orphan systems. Our commercial pipeline, as I said, is strong and our national developers has told us they are not changing course. Depending on where the residential ITC lands, we can pivot quickly, dominating in third-party owned markets or continuing to lead in the loan-based systems. Either way, our clients trust us and trust is something our competition lacks. If there's one thing I've earned in 22 years in this solar coaster, it's confidence. I received it from my peer set, from my team, and I hope with today's recap of progress and transparency, I've earned yours, the shareholders. I'm fired up and more determined than ever to deliver. And as always, I do my best to answer every email. I truly do care. With that said, I'd like to open the line up for calls.
Operator: Thank you. [Operator Instructions] Your first question comes from Justin Clare of Roth Capital Partners. Please go ahead.
Justin Clare: Hey, Scott. Hey, Jeff. Thanks for...
James Brennan: Good morning, Justin.
Justin Clare: Good morning. Thanks for taking the questions here. I just wanted to start out on the guidance here. So, you're expecting positive EBITDA in 2025. And just wondering if you could talk through how you expect adjusted EBITDA to trend in the quarters ahead for the remainder of the year. Do you anticipate potentially being able to achieve positive EBITDA in Q2 as a result of the stronger seasonality? It'd be great to just hear a little bit more detail on that.
James Brennan: So, Justin, I'm happy to give you some color on that. However, what we're not doing today is giving quarterly guidance. Honestly, there's so much turmoil in the industry and the U.S. economy right now. With everything going on in Washington, that would be kind of suicide for any company. But I will -- to answer your question, because we are pretty damn transparent, Q1, in our business, is typically lower than the other quarters. Here in New York, which is where we are today, that business deals with weather issues and things like that that happened throughout the Northeast in January, February, March. In Hawaii, which does not have big storms and things like that, that we have to deal with in Q1, but they do have a huge surge that happens at the end of Q4, so much so that taking a day off is off the menu in many of those -- in those offices. And so, what happens is at the end of Q4, they've plowed through as much business and then Q1 becomes a slower event and it's year-over-year. That business has been in business for 17 years. Here in New York, they've been in business for 22 years. I don't like that we have that seasonal or cyclical layer to our business, but it exists every damn year. And so, that's what I'll say to you in answer to your question is that Q1 is lower and then it ramps up Q2, Q3 and Q4.
Scott Maskin: I will add one thing, Justin. In Hawaii, what Jim was referring to is the storms like snowstorms and stuff here. They do have their fair share of rain that inhibits them. But that's how we feel and we've seen this with data, we're pretty sophisticated here as well on our data, and these curves just continually -- much as we'd love to change and levelize the year, we've been on [indiscernible] for 22 years.
Justin Clare: Got it.
James Brennan: Good question. Thanks.
Justin Clare: That color is helpful. And then, just on your operating costs, you lowered costs in Q1. Just wondering how you're thinking about where you are today. Are there further opportunities to take cost out, or are you more comfortable with where things stand? Appreciate any more color on that.
James Brennan: Yeah, we have some strategic initiatives in-house in both the business units on ways that we can streamline some costs. We also, as you know, Scott just mentioned, but as you know, the mission of our business is to roll up regionally strong companies like SUNation or like HEC in Hawaii. And every time we do that, it's an opportunity to squeeze out some costs that both companies are currently paying or all three companies at that point are currently paying. So, our model includes doing some acquisitions this year. I'm not committing to any of them today, but we certainly have many on our target list. And so, once we bring in the next and the next and the next, we certainly will be shaving a lot more costs.
Scott Maskin: Hey, Justin, I just want to add also that we talked about levelizing the quarter-over-quarter, we actually take that into consideration when we look at our target acquisitions as well, like who can really execute in Q4 or Q1 to levelize some of the other areas in [indiscernible] Q4 or Q1.
James Brennan: That's exactly right. Who would have thunk it that a Northeast company and a Hawaii company would have the same cyclical cycle of Q1 being lower than the other quarters, but here we are.
Scott Maskin: Yeah. And we also just came off of 2024 where I mean everything that we did with all the restructuring, it was expensive. We're not expecting to have those kinds of things happen again.
James Brennan: Sorry, which were all part of the adjustments. I'm sorry, Justin, I didn't hear your last comment.
Justin Clare: Well, I was just saying on the seasonal effect of Hawaii and in the Northeast, you wouldn't necessarily expect them to be the same, but it sounds like they are. I did want to follow-up on just the strategy that you have in terms of acquisitions. Are there particular characteristics that you're looking for in an acquisition? Or are there particular markets that you're looking to expand in that you think are attractive opportunities?
Scott Maskin: Yeah, I appreciate that. So, what I can say is after 22 years, you kind of when you start to look under the hood, it's pretty evident really well-run companies come up to the top. The [primo always] (ph) rises to the top. I think that on the residential side or the businesses in general, I've preached this for years, that diversification between residential and commercial and everything else, that is the winning thing and levelizes and grows the business. You look at companies like Sunrun and Sunnova and some of the big guys, and these are all residential companies. I know Sunnova made a -- threw the hat into the ring commercial for a while. I don't think it really played out, but it's not for me to say. There is vast differences in strategic companies, but the diversification levels it out. And what I will say is that one of the things when we look at companies to roll under the hood and the opportunities, believe me, are out there, and valuations are really being pressured. But what I will say is when I have some of my commercial developers that I work for that we've established such strong loyalty relations because we actually deliver on time and on budget, and they say to me, "Hey, Scott, I got 12 megawatts in. I'll just throw in state Massachusetts. It's not that far. Will you come build this project for me?" That is one of the things when we start to throw the dart that we say, well, not only can we execute on that, we're bringing revenue, we're bringing work to this business. But again, diversification between all of the disciplines for a company that we're going to roll up is going to be critical. They don't have to be as astute as SUNation is, but I can tell you that we've watched -- if you look at the breakdown of our business, I would probably say that we've gone from what was an 80% residential, 20% commercial, when the incentives rise on the commercial side, like we saw [after ITC] (ph), we're probably a 60-30, and then service went from 2% to 7%, right? So, these are the things that give us a lot of opportunity to grow.
James Brennan: Justin, I would add to that, that we have a pretty defined acquisition -- target acquisition profile that we use. Typically, we're looking for businesses that are north of $20 million in revenue and we purposely do that, so that the business has some sort of workflow process flow. It's not a Chuck in the Truck kind of a -- sorry for insulting the Chucks out there, but it's not a Chuck in the Truck kind of operation. They've gone through some serious hurdles. They've already have all the licenses and everything they need. We like all of them to be EBITDA positive. Right now, we're not looking for any rehab projects. And although we have the skill set in-house to fix those, as we've proven over the last year of restructuring SUNation Energy, that's not what we're looking for right now. So, all projects will have to be accretive. We also like, as Scott just mentioned, when companies have multiple revenue streams, because it happens. At one point throughout the year, residential could be slower, commercial could be higher or vice versa, depending on the workflow of that business or the project flow of the big commercial projects especially. We like when companies have put some attention and devotion into service work, because we think that's a huge opportunity with the likes of SunPower and Sunnova trending south, and there's an opportunity there to pick up tens of thousands of service projects. We also look for companies that have great reviews. And the reason why we do that is because those that have great reviews, not made up BS reviews, but real ones, those tend to have lowest cost of brand new lead acquisition. So, the cost of bringing on new customers is a hell of a lot lower here than it is in some of our competitors locally, because they don't pay attention to the customer experience and that is a primary focus on what we do here. As well as the team in Hawaii, they're very, very good at delivering high-quality customer experiences to their customers, and they get a ton of referrals from it. So, those are the top four, I would say, items that I look at when we're analyzing a new target.
Scott Maskin: And here's what we won't do, it is inconsistent for SUNation to go and acquire a company and jam the way we do things down their throat in their region, right? These are all people that are invested in the communities, have large referral rates and things like that. So, the last thing in the world we want to do is upend the company. We just want to add value. All right, does that answer that question?
Justin Clare: Yeah. No, that's really helpful. I appreciate that. And then just one more I had here, I wanted to touch on tariffs. And I know tariffs have been lowered here to a large extent, but wondering how that might be affecting your business. And I think right now tariffs on batteries might be affecting things there more so than for solar. So, just wondering what your exposure is and what you're seeing at this point?
Scott Maskin: Yeah. We're pretty strategic about with our commercial developers. Many of these guys supply their own equipment for us to build. We're cool with that. We did see a little surge when the administration hit Canada. A lot of the racking that we get to some of the commercial projects got slapped and we have a pass-through on that kind of thing. What we're not going to do is we're not going to try and put margin on top of these things. I think it's short term. On the residential side, I'll just tell you a quick story. One of the battery manufacturers that we use in Hawaii was like "The sky was falling." It's pretty obvious what I'm talking about. Franklin was the battery manufacturer, love the product, love the CEO, that's what they use, great. But with the tariffs, it just -- the sky was falling, it's going up 30%, we're not going to be able to sell it, yada yada. And this is a market that is 80% or 90% reliant on storage, right? So, a month later, it changed, right? So, I think that is -- and now, Franklin, it's going to absorb the minimal few percent that the tariff involved. I think that it's consistent. We've seen that the administration throws the guillotine all the way to one side to reasonably come back to center and get their way. So, we're not exposed right now. We're prepared for it, but it's sort of a wait and see, not a panic. And like I said before, we were prepared, this industry was prepared to go from 30% to 25% to 22%. So, we're not -- we're cautiously optimistic, taking it a day at a time and watching the trends, but not -- it's not in panic mode at all.
James Brennan: The percentage references that Scott just shared of 30% to 25% to 22% is when Trump was in office the first time.
Justin Clare: I see. Okay. All right. I appreciate the time. Thank you.
Scott Maskin: Thanks, man. Appreciate you.
James Brennan: Justin, thanks for jumping on so early.
Scott Maskin: Who's next?
Justin Clare: No problem.
Operator: Your next question comes from the line of [indiscernible]. Please go ahead.
Unidentified Analyst: Hey, Scott. How are you doing? I appreciate being open and taking the questions. I just have a question as far as bitcoin. I know you guys have made reference to that in the past. I'm trying to see where you guys stand on that as of now.
Scott Maskin: Yeah.
James Brennan: So, I'll take that one. So, we adopted a bitcoin treasury strategy a few months ago, and the definition of that in that announcement was a certain percentage of our excess cash would be put into bitcoin. We've actually set up the brokerage accounts to do all that, but right now that the we don't have what we would define as excess cash, which is six months of forward cash flow needed to run the business to do it today. As the year progresses, perhaps that stance will change because -- and I'll share with you as well, Nick, that Q1 is typically in our business -- because of the softness of Q1 that I just talked to Justin about, Q1 is a cash drain on the business, and then Q2, Q3 and Q4 are -- we stockpile cash throughout the year, much better cash throughout the year. So, we typically end the year on a cash positive basis. So, perhaps at the end of the year, I'll have what we would define as excess cash to put into bitcoin. Yeah, we like that strategy. Thanks for bringing it up.
Unidentified Analyst: Yeah, I appreciate it. Thanks for answering that question. Thanks.
Operator: [Operator Instructions] Your next question comes from the line of [Mark Lacy] (ph), an individual investor. Please go ahead.
Unidentified Analyst: Yeah, good morning. Thanks for the call. I just want to say, I really appreciate your comments at the end, sir. It gave me the color that I've been looking for about your company. I might suggest that you put those comments into writing into an -- I know you put something out a couple of months ago, but maybe put these comments out as an executive letter. And -- but I've been very impressed with the call today, and I just that's really the only thing I wanted to say. All my questions have been answered.
Scott Maskin: I appreciate that, man. And again, we work hard every day. I have pretty thick skin. I've had -- I make myself available to every shareholder, every employee. And I always say, you may not like the answers, but you're going to get honesty and transparency. And I'm just looking to go to work every day and build this thing back up, and it's important. And I love the positive. Thank you for the positive mojo. You made my Friday, my friend.
James Brennan: Thank you, Mark. Those were very kind of you.
Operator: That's all the question I have, and we appreciate your participation. I will now turn the call over to Scott Maskin, CEO of SUNation Energy. Please go ahead.
Scott Maskin: Hey, thank you everybody for the call, for giving me some of your time on Friday. As I said, we're going to work hard every day as we do. We're very accessible, very transparent. I really, really think that the last -- the work that we've done this year is mind blowing and I'm looking forward. I'm really energized because I think the market is right for us to really, really explode. I know people may think that these are the toughest time. My father gave me some advice when I was a kid that there are two types of people. It's very simple. When a house is on fire, there are people that stand on the sidewalk and talk and take pictures, and there are people that run into the fire and help. That's the kind of people that we are. So, I hope I've earned your confidence, and thank you for your time today.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.